Operator: Good morning, ladies and gentlemen, and welcome to the Thermo Fisher Scientific 2024 First Quarter Conference Call. My name is Angela, and I will be coordinating your call today. [Operator Instructions] I would like to introduce our moderator for the call, Mr. Rafael Tejada, Vice President, Investor Relations. Mr. Tejada, you may begin the call. 
Rafael Tejada: Good morning, and thank you for joining us. On the call with me today is Marc Casper, our Chairman, President and Chief Executive Officer; and Stephen Williamson, Senior Vice President and Chief Financial Officer. 
 Please note this call is being webcast live and will be archived on the Investors section of our website, thermofisher.com, under the heading News, Events and Presentations until May 8, 2024. A copy of the press release of our first quarter 2024 earnings is available in the Investors section of our website under the heading Financials. 
 So before we begin, let me briefly cover our safe harbor statement. Various remarks that we may make about the company's future expectations, plans and prospects constitute forward-looking statements for purposes of the safe harbor provisions under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those indicated by these forward-looking statements as a result of various important factors, including those discussed in the company's most recent annual report on Form 10-K, which is on file with the SEC and available in the Investors section of our website under the heading Financials SEC filings. 
 While we may elect to update forward-looking statements at some point in the future, we specifically disclaim any obligation to do so even if our estimates change. Therefore, you should not rely on these forward-looking statements as representing our views as of any date subsequent to today. 
 Also, during this call, we will be referring to certain financial measures not prepared in accordance with generally accepted accounting principles or GAAP. A reconciliation of these non-GAAP financial measures to the most directly comparable GAAP measures is available in the press release of our first quarter 2024 earnings and also in the Investors section of our website under the heading Financials. 
 So with that, I'll now turn the call over to Marc. 
Marc Casper: Thank you, Raf. Good morning, everyone, and thanks for joining us today for our first quarter call. As you saw in our press release, we had a great start to the year. We delivered another quarter of strong financial performance. I'm proud of our team's ongoing focus on enabling the success of our customers while demonstrating incredibly strong commercial execution and operational discipline and our continued success as a result of our proven growth strategy and our PPI Business System. 
 So let me first recap the financials. Our revenue in the quarter was $10.34 billion. Our adjusted operating income was $2.28 billion. We expanded our adjusted operating margin in Q1 to 22%. And we delivered another quarter of strong adjusted EPS performance, achieving a 2% increase year-over-year to $5.11 per share. Our performance in the first quarter is allowing us to raise our guidance and sets us up to deliver differentiated performance in 2024. 
 Turning to our performance by end market. In the first quarter, underlying market conditions played out as we'd expected. Our team's excellent execution enabled us to deliver differentiated revenue performance that was ahead of our expectations.  Now let me provide you some additional context. Starting with pharma and biotech. We declined in the low single digits for the quarter, which was a sequential improvement in performance over Q4 2023. 
 In the first quarter, the vaccine and therapy revenue runoff resulted in a 3-point headwind for this customer segment. And we also delivered strong growth in our clinical research business. A quick reminder on academic and government and industrial and applied. A year ago, we had very strong shipments of analytical instruments as we worked down the backlog that was caused by pandemic-related supply chain disruptions. As a result in academic and government, we declined in the low single digits during the quarter. We delivered strong growth in our electron microscopy business as well as in our research and safety market channel. 
 In Industrial and Applied, we declined in the low single digits for the quarter. We delivered strong growth in our electron microscopy business in this segment.  Finally, in Diagnostics and Healthcare in Q1, we declined in the high single digits. The reported growth in this end market was impacted by the runoff of COVID-19 testing-related revenue. During the quarter, core revenue growth was highlighted by our transplant diagnostics and immunodiagnostics businesses as well as our health care market channel. 
 So wrapping up on our end markets. Underlying market conditions played out as we expected to start the year. As you recall, our assumption for 2024 is that we'll see a modest pickup in economic activity as the year progresses. During the quarter, it was good to see a couple of positive developments in our end markets that support this view, including continued improvements in the biotech funding environment and the stimulus program announced by China. 
 I'll now turn to an update on our growth strategy. As a reminder, our strategy consists of 3 pillars: high-impact innovation, our trusted partner status with customers and our unparalleled commercial engine. Starting with the first pillar, high-impact innovation. We had an excellent start to the year, launching a number of new products across our businesses during the first quarter. Let me first highlight a number of products in analytical instruments that demonstrate our continued market leadership. 
 In our chromatography and mass spectrometry business, we launched the Thermo Scientific Dionex Inuvion Ion Chromatography system, which enables higher resolution, faster time to results and streamlined workflows to more efficiently identify contaminants for environmental testing. 
 In our Chemical Analysis business, we launched the Thermo Scientific LInspector Edge In-line Metrology solution to enhance battery safety, performance and production. And we also launched the Thermo Scientific TruScan G3 Handheld Raman Analyzer, a next-generation handheld instrument for the rapid identification of chemical compounds used in drug production. 
 And then in Life Science Solutions, we launched the Axiom PangenomiX Array, a high-throughput microarray for use in human genomic studies across global populations, including disease risk and detection research as well as population scale disease research programs. So another strong quarter of product launches. One other highlight of our high-impact innovation during the quarter was being named as one of Fast Company Magazine's Most Innovative Companies. It's great external recognition for the impact that our team is driving for our customers. 
 Moving to the second pillar of our strategy. We are in the trusted partner status over many years, and it gives me the unique opportunity to connect with our customers' senior executive teams. Since the beginning of the year, I've had many meetings with our customers as they're turning to us more than ever. 
 This is to both reinforce our partnership as well as to help them navigate the opportunities and challenges that they face. These conversations are happening across our company at all levels of the organization. Our customers see our team as part of theirs. And our culture of always finding a better way every day serves to reinforce our trusted partner status with our customers. 
 We do not take lightly the trust our customers have in our company. And we'll continue to partner closely with them to enable their innovation and productivity. The first example of this is in our clinical next-generation sequencing business. In the quarter, we announced a collaboration with Bayer to develop a next-generation sequencing-based companion diagnostic that will help identify patients who may benefit from Bayer's growing portfolio of precision cancer therapies. 
 The second example is our Analytical Instrument business. We are partnering with the North Carolina Collaboratory to support PFAS research capacity in state as they help to identify and implement solutions to address PFAS contamination. This is the first network of its kind. And they'll use several of our state-of-the-art instruments, including the Orbitrap Astral in their research. 
 And finally, in our Clinical Research business, I'll share 2 examples of how our trusted partner status comes to life as our customers look for solutions to their unmet needs. We expanded our portfolio of GMP lab services to include qPCR-based biosafety testing capabilities for the detection of bacteria and other contaminants in medicines. This offering enables significantly faster results versus traditional testing method, allowing for quicker delivery of medicines to patients. 
 And we launched the CorEvitas Syndicated Clinical Registry in generalized pustular psoriasis to address an unmet need for real-world evidence related to outcomes for patients with this rare disease. As you recall, CorEvitas became part of our company last year. The business is performing very well and making a difference for our customers and patients. All of these are great examples of our trusted partner status. 
 Now let me turn to our PPI Business System, which enables outstanding execution during the quarter. PPI engages and empowers all of our colleagues to find a better way every day. You can see it in our strong profitability and cash flow that we delivered in the first quarter. Looking forward, our team is actively utilizing generative AI as part of the PPI Business System to increase efficiency and productivity as well as to continue to improve the customer experience across the company. 
 To share a couple of examples of how we're applying AI, it's enabling us to accelerate software development timelines in our Analytical Instruments and Life Science Solutions businesses. We're also leveraging the combination of large language models with a vast and differentiated amount of data at our disposal. 
 One benefit we're seeing is our ability to enhance the capability of our technical and customer service teams to more effectively serve our customers. Generative AI is another great example of how we continually strengthen the impact of the PPI Business System. 
 Let me now give you an update on our corporate social responsibility initiatives. As a mission-driven company, we help to make the world a better place by enabling the important work of our customers. We also have a positive impact by supporting our communities, being a good steward of our planet and the focusing on [indiscernible] education and advancing global health equity. 
 To that end, during the first quarter, we announced a collaboration with the South African Medical Research Council. Together, we'll establish a center of excellence and training program focused on molecular biology and life sciences. The facility will provide specialized education and support for professional development to scientists and laboratory professionals in Africa. I'm also pleased to share that Thermo Fisher achieved a perfect score on the Human Rights Campaign Foundation's Corporate Equality Index for the eighth year in a row. 
 Let me now give you an update on capital deployment. We continue to successfully execute our disciplined capital deployment strategy, which is a combination of strategic M&A and returning capital to our shareholders. During the quarter, we reached the 1-year anniversary of The Binding Site acquisition, now our protein diagnostics business. Its financial performance is tracking ahead of the deal model with really strong growth. I recently had the chance to visit the headquarters of our protein diagnostics business and saw great progress they're making, given the exciting new products that can positively impact patient care for multiple myeloma. 
 Turning to our planned acquisition of Olink. We're working through the regulatory process, and the transaction is on track to close by mid-2024. We look forward to welcoming new colleagues to the company later this year. And in terms of return of capital during the quarter, we repurchased $3 billion of shares and increased our dividend by 11%. As I reflect on the quarter, I'm very proud of what our team accomplished and grateful for their contributions to our success. In a nice recognition of both our team and track record, Thermo Fisher has once again been included on Fortune Magazine's List of Most Admired Companies. 
 Let me now turn to our guidance. Given the stronger operational performance at the start of the year, we are raising our 2024 guidance. We now expect revenue to be in the range of $42.3 billion to $43.3 billion, and we expect adjusted EPS to be in the range of $21.14 to $22.02 per share. Stephen will take you through the details in his remarks. 
 So to summarize our key takeaways from the first quarter. We delivered another quarter of strong financial results driven by our proven growth strategy and PPI Business System. We continue to enable our customer success, and this continually reinforces our trusted partner status. Our strong results in Q1 position us to deliver differentiated performance in 2024 as we continue to create value for all of our stakeholders and build an even brighter future for our company. 
 With that, I'll now hand the call over to our CFO, Stephen Williamson. Stephen? 
Stephen Williamson: Thanks, Marc, and good morning, everyone. I'll take you through an overview of our first quarter results for the total company then provide color on our 4 business segments, and I'll conclude by providing our updated 2024 guidance. 
 Before I get into the details of our financial performance, let me provide you with a high-level view on how the first quarter played out versus our expectations at the time of our last earnings call. 
 In Q1, market conditions were as we expected. We had another quarter of excellent execution, and this enabled us to deliver Q1 financials meaningfully ahead of what we had assumed in our prior guidance. Core organic revenue was $150 million or 1.5% ahead, and adjusted EPS was $0.40 ahead. To give you some color on that $0.40, $0.19 was from very strong profitability pull-through on the revenue beat, $0.12 was from phasing of spending within the year, $0.07 was from lower FX headwinds and $0.02 was from lower net interest expense. So we're continuing to manage the business really well and are off to a great start to the year. 
 Let me now provide you with some additional details on our performance, beginning with earnings per share. In the quarter, we grew adjusted EPS by 2% to $5.11. GAAP EPS in the quarter was $3.46, up 4% from Q1 last year. On the top line, in Q1, reported revenue was 3% lower year-over-year. The components of our Q1 reported revenue change included 4% lower organic revenue and a slight contribution from acquisitions. Q1 core organic revenue decreased 3%. And in the quarter, pandemic-related revenue was approximately $200 million, including $175 million of vaccines and therapies-related revenue. 
 Turning to our organic revenue performance by geography. In Q1, North America declined mid-single digits, Europe declined low single digits, and Asia Pacific and China declined in the low single digits. With respect to our operational performance. The team used the PPI Business System to execute really well in the quarter, delivering $2.3 billion of adjusted operating income, which is 22% of revenue, 20 basis points higher than Q1 last year. Total company adjusted gross margin in the quarter came in at 41.8%, 150 basis points higher than Q1 last year. 
 In the quarter, we continued to deliver very strong productivity, reflecting our continued focus on cost management as well as the carryover benefits from the cost actions put in place last year. This enabled us to more than offset the impact of lower volumes while appropriately funding investments to further advance our industry leadership.  
 Moving to the details of the P&L. Adjusted SG&A in the quarter was 16.5% of revenue. Total R&D expense was $330 million in Q1, reflecting our ongoing investment in high-impact innovation. R&D as a percent of manufacturing revenue was 7.2% in the quarter. Looking at results below the line, our Q1 net interest expense was $84 million, which is $70 million lower than Q1 2023 due to increased cash balances. Our adjusted tax rate in the quarter was 10.5%. And average diluted shares were 384 million in Q1, approximately 4 million lower year-over-year driven by share repurchases, net of option dilution.  
 Turning to cash flow and the balance sheet. We had a strong start to the year with cash flow generation. Q1 cash flow from operations was $1.3 billion, and free cash flow for Q1 was $910 million after investing $340 million of net capital expenditures. We continue to return capital to shareholders in Q1 with an 11% increase in our dividend and the $3 billion of share buybacks, which were completed in January. We ended the quarter with $7.25 billion in cash and short-term investments and $35.6 billion of total debt. Our leverage ratio at the end of the quarter were 3.3x gross debt to adjusted EBITDA and 2.6x on a net debt basis.  
 Concluding my comments in our total company performance. Adjusted ROIC was 11.8%, reflecting the strong return on investment that we've been generating across the company. Now I'll provide some color on the performance of our 4 business segments, starting with Life Sciences Solutions. Q1 reported revenue in this segment declined 13%, and organic revenue was 12% lower than the prior year quarter. This is driven by moderation in pandemic-related revenue in the segment as well as lower levels of activity in our bioproduction business versus the year-ago quarter.  
 Q1 adjusted operating income for Life Sciences Solutions increased 1%. And adjusted operating margin was 36.8%, up 480 basis points versus the prior year quarter. During Q1, we delivered exceptionally strong productivity, which was partially offset by unfavorable volume pull-through. The team continues to do an excellent job to appropriately manage the cost base and deal with the unwind of the pandemic.  
 In the Analytical Instruments segment, reported revenue declined 2%, and organic growth was 1% lower than the prior year quarter. We continue to deliver very strong growth in the electron microscopy business. And as a reminder, we have very strong comparisons in the segment in the quarter due to high level of instrument shipments in Q1 last year as we work down the backlog. In the segment, Q1 adjusted operating income decreased 5%, and adjusted operating margin was 23.7%, 70 basis points lower year-over-year. In the quarter, we delivered strong productivity, which is more than offset by unfavorable volume mix and strategic investments.  
 Turning to our Specialty Diagnostics. In Q1, reported revenue and organic revenue were flat versus the prior year quarter. In Q1, we continued to see strong underlying growth in the core led by our transplant diagnostics and immunodiagnostics businesses as well as in our health care market channel. Q1 adjusted operating income for Specialty Diagnostics increased 5%. And adjusted operating margin was 26.5%, which is 120 basis points higher than Q1 2023. During the quarter, we delivered favorable business mix and good productivity, which was partially offset by strategic investments.  
 And finally, in Laboratory Products and Biopharma Services segment, both reported revenue and organic growth decreased 1% in Q1 versus the prior year quarter. This was driven by the runoff of vaccines and therapies revenue. During the quarter, we delivered strong growth in our clinical research business. Q1 adjusted operating income declined 6%. And adjusted operating margin was 13%, which is 80 basis points lower than Q1 2023. In the quarter, we delivered strong productivity, which was more than offset by unfavorable volume mix and strategic investments.  
 Turning now to guidance. As Marc outlined, given the strong start to the year, we're raising our 2024 full year guidance. We now expect revenue to be in the range of $42.3 billion to $43.3 billion and adjusted EPS to be in the range of $21.14 to $22.02. At the midpoint, that reflects a core revenue increase of just under $100 million. We continue to assume core organic revenue growth will be in a range of minus 1% to positive 1% for 2024. We continue to assume that the market declines low single digits this year. Our growth strategy in PPI Business System execution will enable us to continue to take share once again.  
 In terms of adjusted EPS. The increase in the guidance at the midpoint is just over $0.10. The majority of this is from the core revenue raise and also $0.02 from assumed lower net interest expense versus our prior guidance. Our 2024 updated guidance range assumes an adjusted operating income margin between 22.4% and 22.8%, slightly improved from the prior guide. We continue to use the PPI Business System to enable excellent execution, manage costs appropriately and fund the right long-term investments to enable us to further advance our industry leadership.  
 So a great start to the year and increase in the guidance outlook. We remain well positioned to continue to deliver differentiated performance.  
 I thought it would be helpful to remind you of some of the key underlying assumptions behind the guide that remain unchanged from the previous guidance. In 2024, we're assuming just under $100 million of testing revenue and $300 million to $400 million of vaccines and therapies-related revenue. In total, this represents a year-over-year headwind of $1.3 billion to $1.4 billion or 3% of revenue.  
 We see that FX will be roughly neutral year-over-year to both revenue and adjusted EPS. Given recent FX rate changes, we're assuming that the $0.07 beat that we saw in Q1 is offset in the remainder of the year, leading to no change for the year as a whole for FX versus our prior guide.  
 We expect the adjusted income tax rate will be 10.5% in 2024. And we're assuming between $1.3 billion and $1.5 billion of net capital expenditures and free cash flow in the range of $6.5 billion to $7 billion.  
 In terms of capital deployment. We're assuming $3 billion of share buybacks, which were completed in January. We expect to return approximately $600 million of capital to shareholders this year through dividends, we continue to see [ we will close ] the Olink acquisition by midyear. Full year average diluted share count is assumed to be approximately 383 million shares.  
 And finally, I wanted to touch on quarterly phasing. In Q2, we expect revenue dollars to step up from the first quarter, and organic growth will likely be 2 points better than Q1. And we expect Q2 adjusted EPS to be similar to Q1. This reflects the revised view of the phasing of spending within the year that I mentioned. I think this view of Q2 is pretty close to what's currently baked into consensus right now.  
 So to conclude. We delivered on our commitments in Q1, and we're in a great position to deliver differentiated performance for all our stakeholders in 2024.  
 With that, I'll turn the call back over to Raf. 
Rafael Tejada: Operator, we're ready for the Q&A portion of the call. 
Operator: [Operator Instructions] We have the first question from Doug Schenkel with Wolfe Research. 
Douglas Schenkel: Simply put, it was a better start than expected to the year. Marc, can you share color on: one, how did the quarter progress; and two, how does that progression. And really momentum heading into the second quarter, how do those things inform your thinking on the outlook for the balance of the year? 
Marc Casper: Doug, thanks. So I thought just in the spirit of continuous improvement in PPI that I would frame a few of the key points for the Q&A session and then get to your questions. So indulge me for a second. So when I think about the key points. One, I will start with the long term. We serve an awesome industry that has a bright future, right? And when you think about what drives the bright future, very durable growth driven by the great science, the strong pipelines and the unmet medical needs.  
 When I think about the first quarter, zooming into the short term, market conditions were in line with our expectations and really with strong execution in the quarter that resulted in the financial performance that was ahead of our expectations, it allowed us to retire risk as well as raise our full year outlook.  
 Reminding our investors what's assumed in the '24 guidance is that we're going to see a modest step-up or pickup in economic activity as the year progresses. And during the quarter, it was really good to see a couple of positive developments in our end markets that supports the view of a pickup as the year progresses, which is continued improvements in the biotech funding environment and the stimulus program that was announced by China.  
 As you know, how we define success is that we deliver differentiated short-term performance with a strong emphasis on share gain while strengthening our competitive position for the long term. And Q1 was another quarter in which we achieved that. So Doug, as I think about the phasing of the quarter, market really played out exactly as we thought it was. And we looked at the different parts of it and really in aggregate and the pieces that really played out that way.  
 As the quarter unfolded, what I would say is didn't see a huge change in pattern, although March was a little bit better than the first couple of months. You had the way Easter laid out, which kind of makes it a little bit hard to know exactly, but it felt like March was a good exit rate, consistent with a modest step-up, and that's baked into it. And I would say that April is, in the first couple of weeks kind of playing out with that as well. 
Douglas Schenkel: Okay. That's super helpful. And thank you for the high-level thoughts as well. If I could maybe just kind of double-click into an area of focus for all of us. Lab products and services was stronger than expected, relative to certainly what I had in my model and from what I can tell is in consensus.  
 In particular, obviously, the CRO and CDMO businesses are a focus for all of us. What are you seeing there? Is it fair to say that things are picking up there a little bit better and maybe better than expected? Keeping in mind that some of the early updates from CMO peers have been relatively encouraging. And then I think maybe more on the CRO side is where we'd see this impact. 
 But as we kind of keep in mind that Q1 was the best biopharma funding quarter in about 5 years, how does that make you feel about the outlook for the next several quarters and the years ahead? 
Stephen Williamson: Doug, I'll tee up kind of the view versus the consensus first, and I'm not going to talk about the kind of business dynamics. So we don't guide by segment in terms of our organic growth. And for us, it came in -- as Marc said, the markets came in as we had expected in aggregate. And that's the same thing for the segment, and we executed well. So it wasn't a huge outperformance part of the beat that was kind of pretty much across the board for the company. 
Marc Casper: Yes. And then when you get into the dynamics, the one thing I would call out is in our CRO capabilities, clinical research, the former PPD business, really excellent execution in the first quarter, drove really very strong performance, very proud of what the team accomplished. 
 And when I think about the market dynamics, definitely seeing the pipeline of activity picking up. And as you certainly know, it takes a while for that to actually materialize into revenues, given the cycle of the business, but very encouraging given the biotech funding environment to see that level of pipeline of work picking up. So thank you, Doug. 
Operator: The next question is from Michael Ryskin with Bank of America. 
Michael Ryskin: Great. Congrats on the quarter. Marc, I want to pick up on something you just mentioned. You called out continued improvement in biotech funding environment. And earlier, you talked about the stimulus in China, 2 positive developments on the end market in 1Q. But I think you also acknowledged it's still relatively early going for those. And there have been a few false starts in end markets, of course, of 2023. 
 So I guess the question is, what gives you confidence that these have really turned the corner? What data points you're looking for as the year progresses and especially given your position on the China Business Council. Just when do you think the better funding stimulus will show up as revenues for you for Thermo? 
Marc Casper: Yes. So Mike, I think it's a great question, I liked the way you framed it as well. So we're not -- nothing about false starts. The way that I think about it is and super clear on the word choice. What was assumed in our original guidance was a modest pickup. 
 The 2 data points that I called out would be consistent with that view. So we're not changing our view upwards on the market, but rather what's going to drive the slight pickup, the fact that biotech funding is improving and that China announced a stimulus program. I think everybody was probably positively surprised that they announced it as early in the year as that they did, and they're trying to get their economy growing. Those are good facts to support the modest step-up and set ourselves up for an even stronger set of market conditions as we enter 2025. So that's how I think about the kind of the phasing of what's going on in the market. 
 And then the other thing that I would just note about the quarter which was very positive is that it actually played out as we expected, right, including the 4 end markets. And that's good because, I mean, the normal incredible visibility and predictability that you typically have in this business is returning, which is helpful as well. 
Michael Ryskin: Okay. That's really helpful. And Doug asked about lab products and services. Let me focus on Analytical Instruments. You called out electron microscopy continue to do very well there. But -- and you do have really tough comps. But maybe you could focus a little bit on chromatography mass spec. What are you seeing there from an end market perspective? There's been a lot of concern about pharma CapEx budgets and sort of how they're trending in 2024. So any early comments you can say about that part of the portfolio? 
Marc Casper: Yes. So Mike, when I think about Analytical Instruments, we had a really good quarter. And it's against a very, very strong comparison, which is why I called it out because compared to the high teens growth last year, it's important to flag it. 
 Let me start with electron microscopy then I'll get to chrome mass spec. So electron microscopy, the business has been performing at a great level, continues to have a strong order book and just doing a really good job. And I feel great about that. When I think about chromatography, mass spectrometry, they as well have incredibly strong comparisons. We're getting really good uptake on the Astral and really have had some milestone level of shipments on that product over the first 9 months of owning and [ relaunching ] it. So that's gone well. 
 Most of our business is in the high-end research portion, which has done well for us. We have a little bit less exposure to kind of the more routine applications. I did flag one product that we launched, which is really quite relevant. As you know, we're the very strong market leader in ion chromatography. You hear a lot about PFAS testing, things of this sort. And we launched the next generation of instrumentation there, which it's great, just given how large our fleet is around the world, and that product is off to a great start. So I feel good about the outlook, the different pieces. 
 And I highlighted a couple of interesting launches in chemical analysis, the smallest of the 3 businesses where we're enabling battery production and really trying to change the way that QA/QC is done in pharmaceutical manufacturing by having raw materials inspected at the factory versus doing lab testing and the Handheld Raman Analyzer does that. So really great innovation drives growth in the business and a really good performance to start the year. 
Operator: The next question is from Jack Meehan with Nephron Research. 
Jack Meehan: Wanted to keep digging in on the pharma businesses here. So the first question is on clinical research. You called out strong growth. Just a clarification. Is this inclusive of the COVID headwinds you've talked about before? The tone sounds more positive. Any comments around what you're seeing would be great. 
Marc Casper: Yes. There's no adjustments on any of that. It's just business just grew through that. And when I think about the year, when I think about the guidance that some busy assumptions are better than the guidance. We reminded our investors that we had the largest role in clinical research on supporting the pandemic response. We also had, in parallel, incredible growth in the business, and really just an excellent start and excellent execution to deliver strong growth in the quarter. 
 And while we expect this business will moderate this year relative to the last few years, just the momentum it has bodes extremely well for the midterm of high single-digit growth business plus synergies. So the team has done a great job of becoming part of the company, leveraging our relationships and getting really strong commercial momentum. So really nice start to the year. 
Jack Meehan: Awesome. And then on the pharma services side, there's been a little bit of a competitive shake up with Novo's proposed acquisition of Catalent. Can you just talk about your win rates at Patheon and how you feel about the runway for future tech transfers? 
Marc Casper: Yes. So Jack, when I think about pharma services, the business has performed very well. And when I think about the industry dynamics that have gone on, in an area that we're the market leader, [ start until finish ] where we put the medicine or vaccine in its final dosage form. Effectively, you have one of the pure-play competitors being taken out of the CDMO business effectively or less so. 
 And that in an area where capacity is constrained already, it bodes really well for our business. As the market leader and great reputation, our activity level is high. The number of dialogue we're having with our customers is high. We're securing new business. So I feel great about it. 
 And our job as the trusted partner is to enable our customer success, right? And our customers think in decades in this industry. And when there's events that uncertain, whether it's Biosecure or whether it's an acquisition of one of the suppliers, they look at the industry leader and say, "This is a company that doesn't create uncertainty, does a great job." Those things ultimately allow us to better support our customers going forward. 
Operator: The next question is from Rachel Vatnsdal with JPMorgan. 
Rachel Vatnsdal Olson: Perfect. Congratulations on the quarter. So I wanted to dig into the comments around China stimulus a little bit more. Just on one hand, the language around the stimulus is fairly broad, but this tranche also appears to be 2.5x the dollar amount of the stimulus package that benefited last year. 
 So can you walk us through what are you hearing from customers regarding the stimulus? Are you working on proposals with customers yet? Or have you even seen any orders related to that stimulus come through, albeit it's probably that early for that. 
 And then just to follow up on those comments around the timeline for stimulus. If you look at what happened last year, the stimulus was actually announced in September '22, but we really didn't see an impact until early 2023. So given that delay between initial announcement and actually seeing the benefit, in your view, could we potentially see the benefit this year? Or could this ultimately be a 2025 dynamic? 
Marc Casper: So Rachel, thanks for the question. I share the enthusiasm about the government's efforts to stimulate the economy, get things going. So it's an interesting time in that respect. So... 
Stephen Williamson: And just back to Mike's comment about what the view on is this start, these starts, false start, I think it's a good thing that China is trying to find ways to stimulate the economy. And I think this is one element of it, and we look forward to other things happening as well as just the way the China is managing the economy. As Marc said, go ahead. 
Marc Casper: Yes, yes. So when I think about actually the way things play out, and a lot of this is about signaling as far as I can tell from my own experience of work in China for many years. It's a multiyear program as opposed to the last one, which was shorter term. 
 So basically, the government is signaling, at least, to the economy that they're looking for investments in instrumentation equipment, technological advances, advanced research. So that's very encouraging in terms of that it's not a short-term program, but rather longer term. And yes, we've already have proposals in front of customers. And yes, there's quite a bit of dialogue. Customers are actually waiting for some of the very practical details of how this will work because it varies by province, ultimately. 
 So to my knowledge, no orders yet. I wouldn't expect any of that quickly anyway but lots of activity. And the way that I would think about this is there's the direct effect and then the indirect effect. I would expect that we would see orders really later in the year and some revenue late in the year directly associated with the stimulus, but that may miss by a few months, one way or the other. So I wouldn't expect material shipments in Q2 around this. So it would be the way I would think about my experience. 
 The indirect effect is a confidence booster, right, which is basically saying the government is going to try to get the economy up and going. And that should help more broadly, and that doesn't help tomorrow, but it helps from a contextual standpoint of business confidence. 
 So I think those things would say that you're seeing China try to get the economy growing. We're not assuming a lot in China in our numbers this year as part of major changes. So what I'm most excited about there is that it sets up for '25. Not that we won't see a benefit this year, but it's kind of a direction of travel. And our view is more of a return tranche should be a good market for us. 
Rachel Vatnsdal Olson: Perfect. Really appreciate all that detail. I just wanted to stick on China for my follow-up then. Obviously, we've seen some of these headlines around Biosecure Act. We've heard some of your customers talking about trying to derisk some of their supply chains and go with more Western manufacturers, just given where we're at from that headline perspective. 
 So I wanted to see how has that been impacting your customer conversations? Have you seen any increase in inbounds in terms of Patheon? And then just from a timing, if you were to benefit from this. Obviously, a pretty capacity-constrained sector right now. I know you mentioned some of the Catalent-Novo dynamics earlier as well. 
 Could you even benefit in the near term from any competitive wins related to Biosecure? Or is it just a function of capacity constrained, this really alludes to the value chain and the vertical integration that Thermo has but will be more of a benefit longer term? 
Marc Casper: So the way that I think about Biosecure is I kind of put it into the context of there's a level of geopolitical tensions that exist around the world, including between the U.S. and China. It's never exactly clear whether these things become enacted or not. It's our job to help our customers navigate those shifting landscapes. I think at the highest level, actually relations are falling between the countries a bit. There will always be challenges. 
 When I think about how this could play out, should it play out, I think that what is making the customer base that's largely Western in terms of where biotech and pharmaceutical activity is largely, I think more of supply chains, who's doing development work, et cetera. 
 Given our network is effectively 100% in U.S. and Western Europe and that set of capabilities, we're likely to be a long-term beneficiary, not per se of the Act, but rather the fact that customers are thinking about who are their partners and where should those partners be based. So I think that's a long term, should be okay, and I don't think it has any material impact to the results in the short term. Thank you, Rachel. 
Operator: The next question is from Dan Brennan with TD Cowen. 
Daniel Brennan: Marc and Stephen, maybe just on China. I know some -- there's already been some discussion points here, Marc. But could you just give us a sense how the low single-digit decline in the quarter kind of compared to expectations? And just remind us what to assume for the full year? And kind of any color you can share about just demand trends across your business segments in China. 
Marc Casper: So when I think about China, that actually played out as we expected. The team delivered on the expectations for the quarter. And as you know, our guidance, we don't guide by geography or by business. It's really the aggregate overall. But actually, the first quarter played out as the team expected and executed well. When you kind of go down to the subsegments of China, now you're going to the tiny portion of our revenue. Nothing really significant of note in terms of things better or worse than what we've been seeing or what we would expect. So that's will be a high-level deal. Looking forward to returning to China early in the summer. So get some firsthand perspectives on that as well. 
Daniel Brennan: Got it. And then maybe just on bioprocessing. I know the consumable portion of your business, Marc is, call it, 10% of our revenues, but there's obviously a tremendous focus there right now. Could you give any color on how that business performed in the quarter? And any color you can provide on like this ongoing destock issue. Whether or not you've seen orders start to grow again sequentially. 
Marc Casper: Yes, Dan, thanks for the question on bioproduction. It's definitely a factor. Where it got in the queue of the question, it says that the emphasis is reducing on that so as becoming a little bit more predictable. Really, Q1 was in line with expectations. Organic growth did decline as we expected in the quarter due to the strong comparisons from a year ago. But when I look at orders, that's now 2 quarters in a row with really good sequential bookings growth, nice improvement in book-to-bill. And when I look at the things that have been said externally about the quarter, I feel really good about our performance in terms of how we execute it. So working out, in line with what we thought would happen. Thanks, Dan. 
Operator: The next question is from Matt Sykes with Goldman Sachs. 
Matthew Sykes: Maybe just revisiting the AI segment and maybe just compare, contrast the end markets and where you're seeing some of the greatest strength. It sounds like industrial applied remains strong, but just would love to hear you kind of go through biopharma, applied industrial and academic, government and sort of the phasing of growth over the course of this year in those end markets for AI. 
Marc Casper: Sure. So when I think about the business, one of the things, Matt, is we really don't manage it by end segment because effectively, you produce a certain amount of products, and then you ship them to specific customers. So you can have quarters where you ship more to an industrial customer, the exact same product as a biopharma customer. And therefore, it kind of skews things. So that's my caveat of that. 
 When I look at the parts of the business, the industrial and applied continues to have strong momentum in semiconductor material science applications for electron microscopy was strong. So in terms of how that played out, very difficult comparisons for all of the businesses based on the shipments a year ago, but that was strong. And then the other segments in terms of academic, government, pharma, biotech, pretty much played out as we expected. So nothing that really jumped out at me as being significant in terms of trends or patterns. 
Matthew Sykes: Got it. And then just for my follow-up. Just on LPS and the margins, I know when you had acquired PPD, you talked about potential for long-term margin expansion in that business. Could you just maybe talk about some of the levers you've got within LPS. Understanding that revenue improvement would help a lot, but just any levers to get that margin within LPS to expand that over time. 
Marc Casper: I'll start, and then maybe Stephen will add a few additional thoughts. So when I think about margins and obviously, you have different businesses there. The clinical research business, formerly PPD, incredibly strong operational execution, right? So when you actually look at utilization rates, modification, all of the things that ultimately drive margins, they're doing a great job and executing really well. 
 We're, obviously, benefiting from the synergies that we outlined, and we will have achieved all of our synergy targets on the cost side. So that's gone well. And so they're really doing a great job of executing the trials really well, and that bodes well for margin expansion along with volume. When I think about pharma services, there, the underlying is very strong. But we obviously have capacity coming online and also the runoff of the COVID revenues. So when you lose the volume, you see short-term pressure on margins. 
 But if I say, how is the team operating? Actually, the team is operating well. So the margins there will expand as the year progresses and into the future as well. So that will be my thoughts about margins. I don't know, Stephen, anything? 
Stephen Williamson: I think on the pharma services side, it's the capacity coming online and switching over. There's cost to do that as you're ramping up the facility, bringing on the colleagues to be able to operate that facility. Those are all factors that come into that, but those are the right drivers. Thanks, Matt. 
Operator: The last question we have time for today is from Luke Sergott with Barclays. 
Luke Sergott: So I want to dig back in into the Biosecure Act, a follow-up on what Rachel was asking about. But I wanted to know, Marc, what you guys are hearing from your customers and multinationals that operate over there and what they're saying to you regarding their assumptions on China retaliating and maybe excluding them from the region. I know it seems pretty unlikely, and it's probably going to be limited, but is this something that is on their radar or some of those conversations that you're having? 
Marc Casper: Yes. I can't really speculate. It wouldn't be prudent on how -- whether this thing will even come to pass. And if it comes to pass, what is the response to it. Our job is to do a great job of supporting our customers globally to comply with the global regulations, both the actual regulations and the spirit of the regulations of the various countries, and we'll do a good job navigating it. So that's how I would think about it, Luke. 
Luke Sergott: Yes. Okay. And then, Stephen, for you on the life science margins. So very, very strong here from Life Science Solutions. I understand that the destocking is less of an issue, but how much of the step-up in the quarter was from the restocking? Just kind of walk through it and double-click on the drivers there. And should we consider this as kind of the jump-off point? Or it will be around this range for the rest of the year? Anything from a modeling perspective? 
Stephen Williamson: So Luke, the really good margin profile in the segment. And it's really about addressing the cost base in that business given the lower volumes, both from the pandemic unwind and the kind of the bioproduction aspect to it. So it's really just fundamentally investing the costs that we have in that business. Team's done a great job of doing that, and that's the way to think about that. 
Marc Casper: So thank you, Luke, and thanks, everyone, for the questions. So let me wrap up. Very pleased to deliver a very strong quarter. Incredibly well positioned to deliver differentiated performance as we continue to create value for all of our stakeholders, build an even brighter future for our company. I look forward to updating you on our second quarter results in July and discussing our very bright future as well as outlook at our upcoming Investor Day on September 19. 
 As always, thank you for your support of Thermo Fisher Scientific. Thanks, everyone. 
Operator: Thank you. This concludes today's call. Thank you all for joining. You may now disconnect your lines.